Naureen Quayum: Good morning, everyone. Welcome to True Corporation's earnings disclosure for the fourth quarter and full year of 2025. My name is Naureen. I'm the Head of Investor Relations. With us today are our Group CEO, Khun Sigve; and our Co-CFO, Khun Nakul. I would also like to welcome all the analysts who have joined us in the room today and to those of you who are joining us online. Our presentation today is going to be a bit different. We will have the first segment, which will focus on the results of the fourth quarter and the full year. And we will have the second segment, which will focus on the strategy and the mid- to long-term guidance that we have provided. All our presentations are available for download on our website. We will take Q&A at the end of the presentation. For those of you who are online, please raise your hand or drop your questions in the comment box. We will do a mix of questions from the room and questions online. With that, I now welcome Khun Sigve to start our presentation.
Sigve Brekke: Sorry. Thanks, Naureen, and good morning to all of you, our Asian colleagues and good afternoon or whatever to the rest of the world. And good to see also several of the analysts being present here in the room. Let me take one look back before we go forward, and I'm taking a look back on 2025 and some key highlights from that year. First, 2025 was the year where we became profitable. We reported a net profit after tax for the first time in Q1 last year and continued to be a profitable company ever since. And more importantly, we declared our first dividend since amalgamation in Q3 '25, reinforcing our commitment to disciplined capital allocation and shareholder return. Secondly, we also last year achieved a significant milestone on our network. We completed our ONE Network integration successfully and actually ahead of plan. And with the acquisition of the 2.3 megahertz and the 1,500 megahertz, we now have the biggest spectrum portfolio in the market, which puts us in a very good position to deliver best network experience going forward. And thirdly, customers remain at the core of everything we do. And we had some challenges during the year, being the earthquake, being flood, being border situation and also being the network outage that we had. But throughout there, we kept the relationship with our customers. We also unified ex-dtac customers and ex-True customers into a one digital-first platform, delivering a seamless and consistent experience through the new True app, where our customers then could get the first digital platform experience. Finally, we also started to see in the fourth quarter signs of growth momentum returning. I said when we had our third quarter presentation that we are bottoming out and returning back to growth. And that was exactly what happened in the fourth quarter. Mobile service revenue increased quarter-on-quarter. EBITDA continued to expand. This reflects a shift towards a healthier, more sustainable growth, with customers firmly at the core. These milestones represent what I call a shift from integration that we have done in the last 3 years to a disciplined execution and a sustainable performance going forward. And I'm going to talk more about that. But first, let me ask Khun Nakul to go through some of the financials from the quarter. Please, Nakul.
Nakul Sehgal: Thank you so much, Khun Sigve. Good morning, good afternoon, everyone. Let me walk you through the financial highlights of Q4 '25 and full year of '25. First, as far as the service revenue is concerned, on a normalized basis, excluding the impact of the decline in domestic roaming, we are delivering a negative 0.2% year-on-year for Q4 and a flat on a quarter-on-quarter basis. For the full year, we are negative 0.2%, a shade lower than the guidance that we have given to the capital markets. As far as the EBITDA is concerned, a 10.3% growth on a year-on-year basis and a 3.2% on a Q-on-Q, with the full year being 7% growth. The net profit after tax, THB 4 billion of reported profits, 2.5x of what you saw in the previous quarter. And at the same time, normalized profit was THB 6.1 billion, with the full year reported profit being THB 9.2 billion. And as Khun Sigve said, fourth consecutive quarter of profit for the company. The leverage continues to decline. It's a negative 0.2x on a year-on-year and also on a quarter-on-quarter basis. And even here, we meet or slightly exceed the guidance that we had given to the capital markets. We do also announce a final dividend for the year at about THB 4.1 billion, which is THB 0.12. With this, the FY '25 payout is 56% of our normalized profits. Then if I go into the financial numbers in a little bit more detail. As far as the service revenue for Q4 is concerned, even though it's declined 1% on a year-on-year basis, that's primarily on account of domestic roaming and PayTV. But on a normalized basis, it remained flat on a Q-on-Q and declined on a negative 0.2% on a year-on-year basis. The full-year service revenue declined due to lower contribution from mobile as well as the PayTV segments, and I'll explain that in the second graph that you see in the middle. If you look at the waterfall from Q4 '24 to Q4 '25 and also for the full-year '24 to full-year '25, the 2 businesses that have declined is basically mobile and PayTV, where there is growth registered in online. The decline in the mobile business is primarily on account of domestic roaming, while the underlying core mobile business has grown. As far as the total revenue is concerned, first, if you can see, the product sales for Q4 '25 has increased approximately 37% due to launch of the iPhone. And this is where you see the numbers clearly indicating that increase. THB 4.2 billion has gone up to THB 5.8 billion. And then also as far as the full year is concerned, the decline of 5% that you see is primarily on account of the reduction in the network rental revenue, which is as expected -- expiration of the spectrum rental arrangement that we had with NT, and that's the reason why there is a decline. Other than that, it's stable. Then if I move on to the different businesses. First, the mobile business. Let me first walk you through the middle section, which is the subscriber growth. As Khun Sigve mentioned, we had kind of promised in Q3 that we're going to be back to growth in this business. And as a consequence, we are pleased to report a 580,000 net adds positive in this quarter, 100,000 coming from postpaid and about 480,000 coming from prepaid. The growth in postpaid is basically on account of B2B. With the growth in the subscribers and also an improvement in the ARPU, as you can see on the extreme right, the ARPU in the prepaid space has improved 2.6% Q-on-Q. Full year is approximately 10%. Also, as far as the postpaid business is concerned, it's a slight improvement, 0.4% quarter-on-quarter. That's primarily because of the seasonal roaming revenues. And as a consequence, the Q-on-Q and year-on-year blended ARPU has shown a good increase, reaching at THB 225, which is a 4.5% increase year-on-year. The revenue development is a function of the subscriber and ARPU. And as a consequence, you can see Q-on-Q, the mobile business has grown 1.2%. And the full year -- and the growth normalized for the roaming is about 1.4%, and that's where we are saying that we are back to growth as far as this business is concerned. Then let me move on to online. We registered a 1.5% growth year-on-year in online revenues, which is basically driven by the growth in subscribers. If you see the number of subscribers, we report a 32,000 net adds positive in this quarter, but the subscriber number will be a little bit of a surprise to you, and let me address this question upfront. What we've done is we have actually revised how we report the subscribers on the broadband space where we've done 2 adjustments. Number one, we've excluded B2B broadband subscribers here because that was skewing the ARPU very differently because B2B ARPU is much higher because of the corporate solutions. And the second, we had historically double counted certain subscribers who were using a fixed line phone and also using a broadband connection. And over a period of time, these fixed line subscribers don't really pay for the fixed line phone anymore. So, that's why we thought it was more appropriate to show a normalized view of the subscribers. And hence, you see a 3.3 million subs, which is increasing 32,000 on a quarter-on-quarter basis. ARPU has more or less remained flat. And as a consequence, you see on the left-hand side, the subscription revenue has marginally improved 0.8% Q-on-Q. The full revenue, including B2B, has declined 1.9%, but that's, as we had mentioned earlier, it's because of the one-time revenues on certain corporate solutions that we had in Q3. Full year is a growth of 2.2%. Then I move on to PayTV. PayTV, as you know, Q3 was a quarter where we had reported some exceptional revenues, which was basically on account of music and entertainment. These are seasonal in nature and come once in a while at different times of the year. So, even though on a reported basis, you see a 14.3% decline year-on-year and a 24.4% on a quarter-on-quarter. The majority of the decline is because of the lower seasonal concerts in Q4 as compared to Q3. As far as the subscriber is concerned, the trend is continuing from what you had seen in the past. It's roughly about a 4% decline, and the ARPU is more or less stable from Q3 and Q4. The other reason for the big reduction on our subscription revenues is -- you are all aware, it's because of EPL not being in our portfolio anymore. And let me once again reiterate, losing EPL is net positive for us as a business, even though what we are trying to do is the net savings from EPL is being re-channelized into other content that we want to do to retain our customers. Then let me move on to the OpEx picture. There is a 28.8% year-on-year decline in OpEx, which is benefited by acquisition of spectrum and also on the synergies. But first, the regulatory cost, as you're all aware, has increased 12.6% on a year-on-year basis, which is basically on account of the full-year effect on the rate, which is because of the expiry of spectrum. Some more of this effect is going to come in '26. As far as the network cost is concerned, it declined 27.5% year-on-year and also 9.2% Q-on-Q, which is benefited by 2 things. One is because of the acquisition of spectrum because certain costs are not booked now. They are actually booked below the line, even though they are much smaller. And the second is on account of the network modernization that has taken place, wherein we have reduced approximately 18,000 sites. The cost of sales have declined 4% year-on-year, but they have increased 33.7%, in tandem with the increase in the sales of the handsets as well. So, this should be looked at jointly. We have eliminated the spectrum rental cost. Of course, this is due to the expiry of the spectrum rental arrangement. And as you can see from the left-hand side of the chart, THB 1.9 billion cost in Q3 '25 is not there anymore in Q4 of '25. The other cost of providing services has declined 8.4%, mainly driven by the net savings from EPL. But of course, there are many items that are actually considered here. And as a consequence, the total OpEx has declined roughly 28.8% year-on-year and 3.4% on a quarter-on-quarter basis. Then let me move on to the profitability matrices. We report a 10.3% increase in the EBITDA on a year-on-year basis, which is driven by benefit from spectrum and also on the synergies. Q-on-Q, as mentioned earlier, is also a 3.2% growth. Full year at a 7% growth, we are actually at the lower end of the guidance that we had communicated to the capital markets. But what may be a positive surprise to some of you, we report a very healthy EBITDA margin to service revenue, which currently stands at 67.5% for Q4. For the full year, it's 63.7%. Another thing that we are quite proud of is since amalgamation, True Corporation has improved the EBITDA by THB 8.4 billion, which is 43% since amalgamation. Then as far as net profit is concerned, the reported profit in Q4 is THB 4 billion, which is increasing about 2.5x from THB 1.6 billion in Q3. As far as the normalized profit is concerned, we report a THB 6.1 billion. Basically, there are roughly about THB 2.1 billion of normalizations. And let me just walk you through those normalizations briefly because I'm sure you'll have some questions on that. First normalization that we've done, an annual impairment exercise has been carried out for the significant investments that we have in the company and for which we have recorded a THB 2.4 billion impairment. Second, the usual suspect that you see every quarter because we have been doing a network modernization. So the redundant assets that are not to be used pursuing the network modernization have been written off. That's about THB 1.2 billion. Then at the same time, we have recorded an annual impairment of THB 0.5 billion on account of goodwill for the TV business. Number fourth, we have recorded a gain, which is a deferred tax asset that has been recorded on the losses of the company of about THB 1.5 billion and also unrealized loss on forward contracts, totaling about THB 1.8 billion. And this has been recorded as a gain in this quarter. The reason why the deferred tax asset has been recorded is because now we are reporting a full year of profit. So, that's why it is an opportune time for us to record the DTA. Last but not the least, we also have a gain of THB 0.5 billion from our investment in associates, which is basically the revaluation of assets at DIF, an annual exercise, as you already know. Another thing that we are quite proud of is the financial cost has actually decreased 4% on a year-on-year basis and also the D&A has slightly increased 1.7% year-on-year due to acquisition of the new spectrum. As far as the CapEx is concerned, we report roughly THB 11.5 billion CapEx in Q4, with the full year being about THB 31.2 billion and CapEx to sales of about 17%, a shade higher than what we had guided to the capital markets. The reason why the CapEx is slightly higher is because we have accelerated investment into the broadband network, an area that we had told you many times in the past that we have been underinvesting in that area, so we want to resurrect that. So, that's the reason for the THB 1 billion increase as compared to what we had mentioned earlier. I will tell you the long-term projections on CapEx to sales at the end of the presentation. Then on the leverage. From a 4.2x Q3 2025 of leverage, we are down to 4x. Actually, we had mentioned that we are going to be less than 4.1. So, we are actually less than 4.1 at about 4x on the leverage. The good story that you continue to see is the effective interest rate on our borrowings. From 4.1%, now we are down to 3.8%. The net debt has decreased Q-on-Q, basically on account of the disciplined cash flow management that you've seen over the last 12, 13 quarters and also reduced gross borrowings. The lease liabilities have actually increased year-on-year, basically on account of the transfer of assets to DIF and accounting adjustment that we've been explaining to you since the last couple of quarters. We've also issued debentures of about THB 16 billion at 2.88% weighted average rate, which continues to reduce on every round of borrowing that we do. And at the same time, the tenor of the borrowing also increases. So, this actually healthily shows our effective debt management. We have refinanced THB 126 billion during the year '24, THB 113 billion in '25. And what we need to refinance in '26 is actually only THB 66 billion, which shows that now it's getting more and more easier for us to manage our debt portfolio. Then just to give you a perspective of '24 versus '25. On the left, you have the total revenues, but I also want to indicate that even though there is a 5% reduction in total revenues, the reduction is mainly on account of the spectrum rental going away pursuant to the spectrum arrangement that has expired. It is net positive to the EBITDA as well as to the net income, as you're already aware. The service revenue is a negative 0.2% year-on-year, normalized for the effective -- the NT roaming. The total OpEx, as you have seen, is reducing about 16% on a year-on-year basis from 24% to 25%. And as a consequence, the EBITDA has improved 7%. The net profit after tax is about THB 9.4 billion for the full year, which is increasing THB 20.2 billion since '24. Then just to give you a perspective of what we had guided to the capital markets and what we have achieved. We had guided a flat to 1% growth in service revenues. We are a shade lower to that at a negative 0.2%, as I have just explained. Even with the flat to 1% growth in the revenues, we had guided a 7% to 8% growth in EBITDA. I'm happy to announce that we meet that guidance at about 7% growth. CapEx, we had indicated at about THB 30 billion. We end the year at about THB 31 billion. And last but not the least, we had said that we're going to be profitable on a reported basis for the year, and we are profitable since Q1 of 2025. I will end this section of the presentation by talking about the dividend for Q4. At about THB 4.1 billion, this is about THB 0.12 as final dividend. The record date is going to be 11th of May, with the payout being on 26th of May, of course, subject to the approval of the shareholders. The total dividend for the year is about THB 0.31, which is at 116% payout ratio on the reported profits. And as we have explained to you, on the reported profit, it is always going to be higher because of the lot of one-offs that we have in the last 1 year. So therefore, on the normalized profit, the payout ratio is about 56%. The total dividend is roughly THB 10.7 billion for the full year. With this, I pass it on to Khun Sigve to walk you through the big moves for the next 3 years.
Sigve Brekke: Yes. Bear with me now for some slides because we are now going to look into the next 3 years, and you are more than welcome to ask questions about Q4 also in the end. And I'm going to give you some perspectives on both, how we see the industry, but also what we plan to do ourselves. And as the headline on this slide, we feel that after 3 years of amalgamation and synergy focus, we have now built a solid fundament to move forward and that's what this story is going to be about. The first fundament that is in place is our network, and we have seen a significant improvement after we consolidated the network into one. We have now reached 94% 5G population coverage. We have increased the 5G speed with 23%. And with these improvements, we now see that our net promoter score has improved by approximately 28% year-on-year. The other fundament that is in place that we see an improvement in our customer interaction. Customer complaints are significantly down and customers are now changing to digital interaction with us with a higher customer satisfaction. Churn, both on postpaid and on prepaid and on the online business is also significantly down. And this comes from a focus on quality acquisitions. And as a result of these improvements, we are now back to growth with also a positive subscriber net adds as we showed. We have also made significant progress since the amalgamation around our organization. Our organizational efficiency has improved approximately 45%, supported by a flatter structure and early gains from also automation and use of AI. And looking ahead then into 2026 and '28. And let me start with how we see the industry landscape. The industry landscape is evolving, and we want to be an agile part of building our strategy around those changes. The external environment continues to be supportive for long-term digital growth. Thailand's digital economy is actually growing much faster than the GDP as such, with a 6.2% year-on-year growth. The digital economy in Thailand is expected to account for around 30% of the GDP by 2027. And at the same time, AI adoption is accelerating very rapidly, with growth estimated of 4x compared with the level we saw in 2024. And it's in this picture, we want to position ourselves for this digital future with significant growth opportunities. And to do that, we need to prepare ourselves for the industry shift. And an important part of this is to acknowledge that our customers' expectations are changing and evolving beyond only delivering network performance and traditional customer acquisition. And let me go through the 3 main shifts that we see in the industry and that we are preparing ourselves for. First, best network experience is now a basic expectation. It's a hygiene factor, not a differentiator. And customers increasingly value a seamless and end-to-end customer experience across digital channels, service interactions and also various touch points. So it's a shift from focusing on delivering a network experience alone to an end-to-end seamless customer experience. In parallel with that, when the overall telecom market now is reaching maturity with a total subscriber growth approaching its peak, as a result of that, we need to shift. And our focus, we need to shift from a subscriber-led focus, which we have had for 25 years into an ARPU and also an ARPA-led value creation. And you will hear more about that a little bit later. This shift also requires a change in how we go to the market. We are moving from a mass-market product approach in our marketing and our sales efforts where we basically had a one-size-fit-all offering to now a hyper-personalized and a much, much more granular execution model, enabled with all the data we have from our customers, but also from our network. And this evolution from a traditional way of running a telco operation that we have done for 25 years to a more telco-tech model underpins the strategy we have for the coming 3 years. And it allows us now to combine the strength of our scale with the agility required to win in the next phase of the growth. And as a result of this, you will hear me talking about these 4 big moves in the coming quarters. We have concentrated our strategy around these 4 big moves. It's a growth move. It's an experience move. It's an AI move, and it's a people move. And let me go through each of the 4 to explain a little bit more in detail. Our first move is on customer experience because, as I said, experience is now the primary way to differentiate yourself in the industry. On mobile, our key focus will be on delivering the best 5G network, the best 5G speed and the best 5G consistency. And we are now fully leveraging our leading spectrum portfolio across the 2.3 megahertz spectrum we have, the 2.6 megahertz spectrum we have and also selectively on our 1,500 megahertz spectrum. We are also refarming our 2.6 spectrum now to free up more capacity, both for 4G and 5G. And such improvements will significantly help us to increase 5G penetration with our customers. For True Online, we are revamping the entire customer experience. This includes network experience, and we are investing in the online network. It includes simplifying our customer journeys, and we expect these efforts to enable us to reduce churn further in our online business. And in addition to that, take our fair share of the online market growth that we still see existing in this market. In parallel with that, we will continue to modernize our IT systems for greater simplification and better performance. This includes simplifying our IT architecture through system consolidation. I'm talking about system consolidation on building platforms, on CRM platforms and IT customer front platforms. It includes upgrade key systems to improve performance and reliability, and it also includes enabling what we call touch-free operations for faster issue resolutions. Finally, we will also focus on delivering a seamless digital-first experience where customers can interact with us constantly across digital channel, shop and call centers. This includes enhance the true -- digital True App with more features to be at service parity with the service you get when you walk into a shop or when you call a call center, to move those physical interactions into digital interaction. It includes leverage AI to provide personalized experiences and issue resolutions as well as human-alike conversational AI agents. Our second big move is on growth, and let me start with consumer. The growth we are pursuing on the consumer side is very different from the growth we have done in the past. And let me explain what the difference is. We are shifting from selling individual products, basically SIM cards, voice and then data into now winning the entire household through a more-for-more concept. Most of our customers have only one product with True. So the first step is to have them to use our connectivity services, both on the go as they do on mobile, but also when they are at home through a better conversion offering. However, it's more than conversions. We don't want to stop there. We also want to provide our customers with relevant add-on services that addresses their entire needs that they have in the various customer segments, that being games, that being content, that being home AI solutions or other digital services, both to drive customer stickiness and to drive value creation. To do that successfully, we need to be smart in how we approach our customers. We already leverage data and AI engine to create personalized offers for each customer so we can cross-sell relevant services to the right person at the right moment and through the most appropriate channel. And when we do that, we see that a customer churn when customers are using more than one product with us is going significantly down, and we see the ARPU of the value creation going up. In our TV and content business, investments in original content is our prime differentiator after we moved out of the EPL, allowing us to drive engagement across various segments of customers, not only the TV but also on the mobile and online business. In 2026, we will aggressively scale up our production to more than 30 Thai original content series and partner up with 20 leading studios. With a library already exceeding 500 titles, we claim that we own the cultural conversation in Thailand. And this content doesn't only drive viewership, it anchors our data ecosystem and fuels our core connectivity businesses through various engagement activities, offerings and privileges across the TV products and across the mobile business and across the online business. Customer and network data allow us to move to much more granular operating model. And this is a big shift in the way we are going to do our business. And let me explain what I mean by a granular execution model. We want to shift from a traditional area management into a nanocluster execution model, where we are breaking up the country in more than 6,600 small areas, clusters and have an execution model around those 6,600. There are 3 main elements in that strategy. The first one is a data-led and local insight. So, we are using the data we had from our networks, from our point of sales, from our customers. And we leverage that deep local customer knowledge and network insights in actually making P&L per cluster to drive performance management. To do that, we need to empower local teams. We are going to assign clear nanocluster ownership with our people, with our teams and then to be dedicated to drive then faster decision and stronger accountabilities on the ground. And the last thing in this area is to target execution on each and one of those nanocluster areas to deploy highly targeted local plans per nanocluster, precision campaigning and optimize network utilization, where we are filling up the network where we have a spare capacity and we are taking down capacity where we have full capacity. That's going to be almost base station by base station. Our next focus area on the growth, big move, is on the enterprise and SMEs. We are deliberately now shifting our focus on the SME and the enterprise market from being today mainly a connectivity provider to becoming a trusted digital transformation partner. Today, our B2B business accounts for around 6% -- 7%, 8% of our overall service revenues. And if I compare that with regional benchmarks, it should be closer to 15% of our overall revenues. And we see this gap as a clear opportunity to grow by moving beyond stand-alone connectivity and into higher-value digital solutions. Customers in both enterprise and SME segments are no longer looking for only network connectivity. They are looking for integrated solutions that can combine connectivity, cloud, security, data and AI to solve real business problems. And that's where we see the growth coming in the B2B segment. And our approach is going to be focused and different. For SMEs, we want to make digital transformation simple, platform services accessible and through subscription-based, as-a-service offerings. For enterprises, we want to co-create industry-specific solutions that are tailor-made to our enterprise customers' needs. And to do that, we need partnerships. We don't want to do all those -- these servicing services and products alone. We want to do it in partnership. For example, we are closely working together with True IDC, our data center provider. We are working closely together with hyperscalers, being the Western hyperscalers, but also the Chinese hyperscalers to strengthen our data center and sovereign cloud capabilities. That will allow us to meet growing requirements both in data residency, security and regulatory compliance, especially for those customers that increasingly are asking for more trusted, locally hosted infrastructure solutions. And by combining our network strength, our digital platforms and our strategic partnerships, we want to build a scalable capability to be a leader in the B2B segment. Then let me move to the third big move, AI. We have already started, of course, to use AI in our business. Just a couple of examples on that. On the customer side, our conversational AI, Mari, as we call her, now offloads 96% of all messaging transactions that has been delivered and more than 45% of all the transactions is now happening through the AI tool compared with 2023. On the network side, AI-driven energy optimization has delivered already THB 367 million -- THB 370 million in savings since 2023 through using AI to identify low-risk, high-impact cell sites and applying intelligent sleep and wake automation in the network. We are also now working on customer value management. We're doing that together with some global consultancy help and also with some global AI players. And we are building a hyper-personalized AI engine powered by a unified customer data platform, where we are using more than 15 billion data points to reflect the true context of our customers. We are then using those 15 billion data points to understand their behaviors and preferences. We already see an ARPU effect -- positive effect coming out from these initiatives, but we have just started. Moving forward, we have established 3 key priorities on AI. The first one, it's AI for all. We want to democratize AI by upskilling our own people, but also our customers, accelerate the adoption and ensure responsible authentic AI across the organization. We want to use AI as a growth engine. And I already mentioned an example with using AI for hyper-personalized offers. And we want to use AI to power operation. We are building now autonomous, touch-free operations to improve efficiency and use that to scale performance. Our fourth and last big move is on people because none of what I'm talking about now is possible without the right capabilities, cultures and way of working. Organizational excellence, we will continue. We have done a lot of organizational efficiency already, and I talked about that earlier. We want to continue to modernize our organization to improve efficiency and improve productivity through using digital tools and process automation. AI and simplification are going to be cornerstones in this multi-year organizational efficiency program. Future-ready capabilities, AI capabilities becoming a core skill set. We are rolling now out a structured AI upskilling project and scholarships to ensure that all our employees can innovate and apply AI responsibly in their role. The ambition is that 100% of our employees will have necessary AI skills. And last but not least, performance-driven culture. We are now fostering a systematic performance-driven culture, combined with innovation to be able to both deliver on the financial ambition we have, but also to become the best place to work. Ultimately, these moves will help us to create an organization that is more agile, more capable and better at executing in this 3-year strategy. Let me close off with a slide on efficiency and what we plan to do to actually -- to deliver the profitability focus that Khun Nakul is going to talk about now in a second. Over the past 2 years, we have fundamentally reshaped our cost structure, driven by disciplined execution and full synergy realization. From '23 to '25, 2 years, our OpEx have reduced with 12%, driven by a 3% CAGR reduction in our revenue-generated OpEx. We are now splitting our OpEx in revenue generating and non-revenue generating. So, 3% reduction on the revenue-generating OpEx and a 13% reduction in the non-revenue-generating OpEx. This reduction of cost was mainly driven by realization of synergies, performance-based culture and benefits, of course, from the spectrum acquisition. But going forward, we will continue our focus on efficiency, leveraging on AI and synergies from scalability. And let me give you some examples of what we're going to do. Over the past years -- last 2 years, we have made significant network movements in making our network more autonomous, but we are still not there. The plan is to do -- to run the entire network in an autonomous model. This means smarter traffic steering, energy saving solutions and capabilities to reduce manual intervention in our network. We are simplifying our IT stacks by retiring legacy, moving to more modular architecture and standardizing the data pipelines while integration of AI can operate, also our IT infrastructure at scale. This will lead us to automate all the workflows end-to-end and accelerate time-to-market and also enable analytics in every decisions based on machines, not on human interactions. Our strategy on experience is a digital-first by design. We are empowering key steps in our customer journey by personalizing them with AI. Customers see fewer forms, faster resolution and offers that are relevant to their context, whenever they come through the app, web or contact center. And to sustain momentum, we are transforming how we work. Teams are being upskilled on AI, empowered with automation tools and measured by speed and outcomes. This cultural shift of tech plus talent is what turns today's efficiency into tomorrow's growth strategy. To then summarize, the 2025 marked a transition from, as I said, integration into execution for the 3 coming years. So, we are done with the integration, more or less done with integration. We are done with amalgamation. We are done with putting those 2 organizations together. Now for the coming 3 years, our focus is going to be on transforming the business through an execution. We enter '26 then on a strong network foundation, improved customer metrics, disciplined financial management and a clear growth engine across customer enterprise and AI-led transformation. And with the focus we have now on experience, growth, AI and people, I think we are well equipped to deliver on the guidance that Khun Nakul is now going through both for the 3 years and for 2026. Thank you. And over to you, Nakul.
Nakul Sehgal: Thank you so much, Khun Sigve. Then I just have a couple of slides to walk you through the financial outlook for '26 to '28 and also deep diving a little bit on '26 itself. As you are aware, the EBITDA to service revenue, and I'm talking about the left to right, the purple bar that you see or the purple line that you see, we were at 54% in '23, and we had a commitment to you as capital markets to reach 63% by '25. Right now, as we finish '25, as you're already aware, we are at 64%, with Q4 '25 being 67.5%. We now show you the ambition for the period 2026, as well as until 2028 to reach up to 69% of EBITDA as a percentage to service revenue, which is a whopping 15 percentage point improvement since amalgamation. Focus, as usual, is going to be on the performance-driven culture as we continue to unlock the next phase of growth and also efficiency at the same time, with the core principle based on which we have always been working is the EBITDA growing faster than revenue. In year 2026, you're already aware, the spectrum savings are also going to play an important part, which has already been factored in these numbers. The second is on the CapEx to sales. You have seen that we have spoken about reduced CapEx intensity over a period. The network modernization is behind us now. We are sitting on a 5G network, which is at 94% population coverage. And as a consequence, even though the year '25, the CapEx to sales is a shade higher than what we had told you and the reason is what we have already mentioned is investment into the broadband business, this is going to continue to taper down as we go forward with approximately 13% to 14% until the year 2028, with 2026 in specific being roughly 14%. The disciplined CapEx management that we have spoken about is going to be the bedrock of how we invest into the business. Last but not the least is on the leverage. Let me first remind you, this is something that we are really proud of. We were 5.7x leverage on Q1 of '23. We ended the year '23 at about 5.2x. We had an ambition to be lower than 4.1x by year '25. We ended at about 4x. And now we continue to say that we will be improving the leverage going forward, reaching approximately 3.5 levels by '26 and approximately 3x levels by the year 2028. This is going to be followed by disciplined CapEx management, efficiency focus and also how we are going to improve the cash flows as we go forward as we've demonstrated in the past. I must remind you, 2026 as a year is going to be benefited significantly by the spectrum payments being much lower as compared to what was there in '25. Roughly THB 24 billion of savings in '26 alone is going to come from spectrum. I think most of you have already factored these in your numbers, but I just wanted to reiterate that for the rest of the audience. With this leverage, we've also considered a dividend of 70% of the consolidated net profit of the company. Then deep diving a little bit more into 2026. The service revenue, excluding interconnect, is expected to grow 2% to 3% for the year '26, which is higher than the expected growth in GDP from the Bank of Thailand of about 1.5%. The growth is on the fundamentals of the following. A lot of it has been explained by Khun Sigve, but there should be an ARPU growth in mobile, a subscriber growth in online. Growth in digital TV or media should be offsetting the degrowth that we have seen as a decline in PayTV. And last but not the least, we expect a higher contribution from B2B. Ambitions have already been shared by Khun Sigve already. The continuous EBITDA focus is going to be there for '26 as well, with EBITDA growth outpacing the growth in service revenue of about 7% to 9% and efficiencies, like I mentioned, is on the core of the DNA of this company. The CapEx is going to be tapered down. We ended the year '25, as you recall, at about THB 31 billion, with roughly 30%, 35% of the spends happening on network modernization. And as a consequence, now for the year '26, we're guiding CapEx levels to about THB 25 billion to THB 27 billion. Reiterate the dividend, which is going to be a semi-annual dividend consideration of at least 70% of the consolidated net profit. Of course, this is subject to the approval of the Board of Directors. With this, then I hand over to Khun Naureen to take over through the Q&A. Thank you so much.
Naureen Quayum: Thank you, Khun Sigve, Khun Nakul. We can start with the questions from the room first. Khun Pisut?
Unknown Analyst: Congratulations again on your record net profit this quarter. Pisut from Kasikorn Securities. I have 2 questions for this part. First, on the spectrum and network. If excluding the 1,500 megahertz band, still hold a spectrum advantage over AIS, if I'm correct and you have completed the network modernization over the past 3 years, is it fair to conclude that this allowed to structurally lower network CapEx, while competitors' AIS to be precise, may need to step up the spending as you may see? And with that in mind, can True not only defend the cellular revenue market share, but potentially regain some shares in the coming quarter that you lost over the last 1 to 2 years? And another question on this one is how can you monetize the 1,500 megahertz band so far? Do you -- have you seen any issues about the device compatibility in the market on this one?
Sigve Brekke: Yes, I can start here. Yes, you are correct. We have a spectrum advantage. And I don't see that we have any problem now with delivering neither 5G or 4G increased capacity to the customers. I don't want to comment on AIS, but for our sake, we can fully leverage that and also then to refarm the 2.6 that we are sitting on, such that we can free up additional capacity. So, that is our plan. The CapEx we are talking about for ourselves now for 2026 is roughly around THB 50 billion, THB 55 billion, I think, going into network because we need to invest now in utilizing the 10 megahertz extra we have on the 2.3, the 10 megahertz extra we got in the auction and also the 1,500. And we are going to not use 1,500 to expand coverage. And to your question about do we see any limitation? Not really because all the new handsets now are coming with 1,500 also embedded in them. So, there is a significant number of existing customers that have 1,500. So then the other part of our CapEx for this year is going to be on online. We have not prioritized that in the past. Somehow we started to do that in the fourth quarter. Now, we're going to put more money into online. So, expect a 20% part of our CapEx going to online. The last part of it is going to IT and some other investments. IT, we need to continue to, what should I call it, simplify our IT infrastructure. We are still operating with 2 building systems, 2 CRM systems, 2 customer front systems. So, there will be investment going into that. But the majority on the network investment we already did. So, I'm quite pleased with the situation we are in now on the network side. Will we use that to -- in our competition? Yes, of course. But I said in every quarter that don't expect us to be price aggressive. We are rather focusing on customer experience. And if the customer experience we can deliver now, based on our premium spectrum position is better than our competitors, well, it's up to the customers to choose. But as I also said, it's not only about spectrum quality anymore or network quality. It's about the seamless experience that you have that it really works across regardless of which apps you are using. So, that's why I'm saying also that the focus we are having on the network side is shifting to seamless end-to-end customer experience, not only to make sure that the connectivity works where you are.
Unknown Analyst: My second question is on your core revenue growth guidance, which is about 2% to 3% this year. Now it's almost 2 months past, right? Are you seeing momentum pick up already in this quarter because last quarter, you still lost the revenue by 1% year-on-year, right? Or is it more on the back-end loaded, which means that it's going to come in the second half rather than the first half in terms of the revenue growth that you target? And could you break down the expected growth by business unit like mobile, broadband and also the digital, as you mentioned, as Khun Nakul mentioned that the mobile growth has come from ARPU uplift and broadband from the subscriber growth. If you can explain a little bit more, it's going to be good. And also the key initiative that convert from the negative to the positive growth? What was your initiative that you already deployed? And lastly, on your big move strategy, Khun Sigve, how much -- should we expect all of them to be converted into the core revenue growth in the medium term? I think when you're talking about a big move, 2% to 3% doesn't seem big for me, right? And just want to hear from you.
Sigve Brekke: Yes. I can take the last part of the question, and then you can take the first one. Well, the 2% to 3% is a 2026 guiding. How it's going to look like in '27 and '28? We will come back to it. And of course, it takes time to build those big moves into a growth momentum. The key initiatives, I will say, are as following. One, we will continue to focus on quality inflow to get customers in on a higher ARPU level and then with a lower churn. So that we will do on prepaid, that we will do on postpaid, that we will do on online. So the customer inflow part of -- also the effect that, that will have on the revenues is one part of it. The second part of it, as I said, it's the customer value management that we are running now where we are increasing ARPU with existing customers, get them over to packages, which are more suited to their needs. And we see effects coming out of that already. So, that's the second one. And then I will say the third one is to start to monetize services beyond connectivity and that especially, with convergence in the homes with all the IoT devices and this is in the B2B segment.
Nakul Sehgal: Okay. Thank you for the question, Khun Pisut. Many subparts to one question.
Sigve Brekke: He is smart enough.
Nakul Sehgal: Yes. I know. On the core revenue guidance, the first thing -- and just to supplement what Khun Sigve mentioned, if you look at fourth quarter, annualize the fourth quarter, assuming there is no growth in '26, we are flat on a year-on-year basis. Unlike our competitor, they're sitting on a significant growth already because the momentum has been high for them. For us, we were going down and then we had a bump up in the fourth quarter. The way you should kind of project the numbers is keeping seasonality in mind. Of course, number of days plays a factor in Q1, but there should be a consistent growth in the businesses going forward. If there is a growth momentum coming on account of mobile, that momentum should continue, barring for the seasonalities that are there in the business. As far as broadband is concerned, online is concerned, yes, it is subscriber-led, but it will also be ARPU led as well. ARPU playing a slightly lower factor as compared to the growth in the subs. We're sitting at an ARPU of THB 498. Our competitor is sitting at THB 530. So, there is an opportunity for us to grow the ARPU as well with the plethora of services that Khun Sigve spoke about. I do not want to break the growth into each businesses. But what I can indicate, as I've always done in the past is growth in ARPU, especially in the mobile business is going to be around about the growth that you see in the GDP, 1.5-odd percent. The growth in online business has to be higher for the average to be sitting at 2% to 3% because the subscriber-led growth, coupled with the growth in the ARPU will obviously give us a better result as compared to the mobile growth only because the penetration in the mobile business is in the mid-40s or late 40s right now. And last but not the least, B2B is kind of an untapped opportunity. So, we will be working on it as we go forward. So yes, I mean, just keep in mind the Q4 numbers and then build the momentum on this going forward, keeping in consideration the seasonalities that are involved in the business as well.
Naureen Quayum: Okay. Thank you, Khun Pisut. Let us move to one of the questions online first. We will come back to the room. Piyush from HSBC.
Piyush Choudhary: Congratulations on great set of results. Two questions. Firstly, on capital allocation, you have raised the dividend payout ratio to at least 70%. I just want to understand like does it incorporate any future potential spectrum outflows, whether it is 2100 in 2027 or potential auction of 3500? Or would you kind of have flexibility to reduce the payout ratio if those needs arise? That is first. Secondly, on the management team side, Sigve, last time you mentioned you would like to retain the Telenor executives and move them to local contracts, whether it is Nakul, Sharad, Naureen or Head of Networks, if you can update us on the same.
Sigve Brekke: I can take the second one. Yes, I'm in dialogue with these guys to actually have them on local contracts. And I think it's fair to assume that all of them will do that. So, I will retain the senior experts that are going from a Telenor expert contract into a local True employment contract. So, don't expect any change in the management team.
Nakul Sehgal: Okay. Thanks for the question, Piyush. On the capital allocation, yes, we have raised the dividend payout ratio. And this is the confidence that we see in the performance in the fourth quarter as well as the bumper cash flows that you will see in the year '26 because of the spectrum savings, approximately THB 24 billion. Your question on whether it accounts for the renewal of 2100? The answer is yes. We have already factored in renewal of 2100. However, this does not include 3500 auction, because we do not have a visibility of 3500 yet.
Naureen Quayum: Can we have Khun Gene next, please?
Thitithep Nophaket: Thitithep from Kiatnakin PS. I have 3 questions. The first one, if you look at the mobile phone revenue growth, there's still quite a sizable gap, between [Technical Difficulty] U.S. growth and your competitor growth in the fourth quarter of the year. And we are already a few quarters after the network disruption. So, I would like to know your view, what is the main reason for the gap and how do you plan to narrow or close the gap in the next few years? Second question is on the guided CapEx to sales. You guided that the CapEx to sale was 17% last year, you would like to slash it to 13% to 14%. Now your competitor has guided 15% CapEx to sales in the next 3 years, not much different from you, it is 1% to 2% higher. But I think they did say that they would like to maintain 15% in order to widen the network quality gap. Do you think that would have any impact on your effort to close or to narrow revenue growth gap between the 2 firms? And then the last question, you target to grow EBITDA margin further by a few percentage points in the next few years. You did say that [Technical Difficulty] you can adopt the AI or make organization become simpler. But in terms of, which item of the cost are you looking to slash? Is it the network OpEx? Or is it depreciation expense? Or is it the SG&A?
Sigve Brekke: Yes, I can take 1 and 2 and you take the third one. Now, the reason why AIS is still growing better than us in the fourth quarter, of course, they have a different speed into the quarter then we had. So, we came from a negative growth in the first 3 quarters, we came from a negative customer -- net customer growth into [Technical Difficulty] quarter where we then turned positive on customer acquisition, 500 million or so, and then we start to positive on growth. So, I would say that's a timing effect with kind of the speed that they came with. For us, it was -- fourth quarter was turning the curve. And that was what we promised also in the third quarter that we are bottoming out and coming back. So, I would say that's the main reason. And now we see that the churn is almost down to AIS level, still have a little bit way to go. We see that their offerings are more or less similar. But of course, we have lost customers over the last 3 years, that being the network incident or not being good enough for customer experience. So, going forward, we will both try to take our fair share of the net adds in the market and grow the number of subscribers, but also then grow the ARPU with the customers -- the subscribers that we have. On the CapEx to sale, I don't want to comment on what AIS plan to do. But what I can say is that the spectrum advantage that we now have, the single network that we built last year, I'm not going to give up on the network parity that we have with AIS now. I don't think that neither of us are ahead, neither on speed nor on coverage. And I'm not going to give that up. So, if AIS compete with us on getting the network experience better and better, so will we do. So, that's the plan.
Nakul Sehgal: Yes. And then, your question on the EBITDA growth and which items of expense that we're looking at, I think the expense reduction is going to be broad-based. But primarily, AI is going to be the center point on how we're going to transform the organization. So, it will be more the SG&A that is going to reduce. The S part of the SG&A is going to increase in tandem with the increase in revenues because the revenue-generating OpEx is going to increase because we have to fuel the growth. But then the G&A part is going to be the ones that is going to be showing the improvement because of the upskilling that Khun Sigve spoke about, the IT transformation that we spoke about, the people efficiency that we spoke about as well. Additionally, there is going to be a reduction in the IT spend of the company as well. But IT as a percentage of total OpEx is relatively very small. So, the magnitude of that may not be very high. And last but not the least, the network as a cost is going to continue to be optimized. Of course, there is going to be certain expansion in the network that is always going to be there in case of a telco. But the autonomous network that Khun Sigve talked about, the efficiencies that Khun Sigve talked about of the scale, that is going to help us keep that expansion in check. So that's another efficiency area as well.
Sigve Brekke: And that's why we talk about splitting up the OpEx between revenue-generating OpEx and non-revenue-generating OpEx. The revenue-generating OpEx is going to increase. And the revenue-generating OpEx should be similar to the revenue growth that you have because that is the OpEx you use for your sales, marketing efforts and so on and so forth, which means that the non-revenue generating OpEx has to go down. And I have said many times that going forward, we should have a 0 OpEx year-on-year, which means that the growth you have in revenue-generating OpEx will have to be balanced with the non-revenue generating OpEx. I don't see why with new technology, we shouldn't be able to have a flat OpEx year-on-year, based on actually a revenue growth. We may not be able to do that this year because it takes some time to get those transformative activities in place. But going forward, that is my ambition.
Naureen Quayum: Thank you, Khun Gene. Can we move online to Arthur?
Arthur Pineda: Yes, 2 questions, please. First, on the revenue growth guidance. Can you please run us through how you get to this? Because I understand you've anchored this to the 1.5% GDP growth, but Thailand just recently raised their targets just this week. I'm just wondering how that flows through. And related to this, how do you interpret the difference in growth outlook between yourself and AIS, where they're looking at 3% to 5% and you're looking at 2% to 3%? Second question I had is a bit more boring. But with regard to your tax rates for 2026, 2027, are you able to guide for that given that you do have some tax credits on board, which I assume are expiring? I'm just wondering how much of this can be consumed given that it does impact the dividend as well?
Nakul Sehgal: Yes. Thanks for the question, Arthur. Let me take both of them. I think the one on revenue, we partly answered. That was, I think, Khun Gene, who asked about it. But let me just explain it in brief again. The reason why there is a difference in the outlook of our competitor and us is basically the momentum. And if you see -- if you are -- if you just do the math, if you're coming on a consecutive quarter of growth until Q4 of '25, if you do not even grow for the whole of '26, you're already sitting at a 3%-plus growth. Whereas on the other hand, if you're coming on a lower momentum for 3 quarters and a slight growth in fourth quarter, then you're kind of sitting on a flat on a year-on-year basis. So hence, the way you should look at our progress is, how the quarter-on-quarter we are performing versus the industry. I think I've already shared where the growth is going to come from, whether it's the mobile business, whether it's the broadband business, whether it's the PayTV, how we're going to make sure that we do not bleed on to the new business anymore and of course, the growth in the B2B and the digital as well. Then, to your boring question, I'll give an exciting answer. As far as the tax rates are concerned, yes, we have enough NOLs, net operating losses carryforward, which will enable us not to pay any significant tax outflow for the next couple of years.
Naureen Quayum: Arthur, did you have a follow-up?
Arthur Pineda: With regard to the tax loss carryforwards, which can be consumed, is it mostly this year? Or is it going to be split between this year and next year?
Nakul Sehgal: Sorry, can you repeat that? I missed the first part.
Arthur Pineda: Sorry. Any guidance in terms of how much is left and how it will be consumed between this year and next year?
Nakul Sehgal: Yes. I think we have enough NOLs that can be absorbed in the next 2 years of profit. So, 2 years, yes, '26 and '27.
Naureen Quayum: Thank you, Arthur. We can move on to the questions in the room. Khun Nuttapop first, yes.
Nuttapop Prasitsuksant: Nuttapop from Thanachart Securities. Two questions, please. First one, you mentioned ARPU discrepancy from yourself and your competitor AIS as well. Do you think customer mix have a play in that? And would that lead to different contents that you may let out some -- you get something else on that? And just one other thing on ARPU is that, your average ARPU in both mobile and broadband seem to be at par or nearly below the -- if I'm not wrong, starting package prices of both mobile and broadband. Would that mean, again, customer mix? Or should we go another way around, in the positive side, that it means like some discounts given out like past 4, 5 years, I don't know, we will try to -- that should recover soon. That's the first one on ARPU. And the second one on impairments set, 2 sub-questions. Number one is, whether network CapEx impairment, if I may call, seems to still be high, like THB 1 billion, THB 2 billion in the fourth quarter, while your modernization things has completed. What happened? Or should we expect more in 2026, of course? And about the small investment in JVs, digital, smaller company, I think that those are the results from venture capital boom past few years back. How big is that now in your portfolio? And should we expect some kind of more impairment?
Sigve Brekke: Yes, I can try to take the ARPU. I would say that on prepaid, the ARPU should be more or less the same between ourselves and AIS. However, we are probably sitting on some existing prepaid customers that came in on a more aggressive package than what AIS is sitting on. So, when those packages are expiring, of course, we will start migrating also prepaid customers over to packages, which is more or less the packages that you see sold in the market today. And the prepaid offers you see for new customers today are more or less the same. So that's -- it's a timing effect, I would say, where we will have very similar prepaid ARPU as AIS. So, I don't think the customer profile there is very different. n postpaid, it is. I think AIS is sitting on higher postpaid ARPU customers than we do. And that is basically also over the last 3 years where we did not deliver good enough experience for those customers. With now our focus on experience as a network parity and our focus on customer experience, I think over time, we also will take our fair share of those more high-value customers. On online, I think the network experience that we have had on online has not been good enough. And we have had quite some discounts for the inflow we have got on online over the last 2, 3 years. And those packages are also now starting to remove, and I don't expect us to be more price aggressive in the online segment than AIS is. So, I would say prepaid online, there should be more or less the same ARPU going forward. On the postpaid side, it will take some time.
Nakul Sehgal: Thank you, Khun Nuttapop, for your question. Let me take the second one. But just -- I just wanted to add something on the prepaid ARPU. Even though the starting plans that you see in the market are THB 150, there is a certain section of customers who are receiving incoming calls. So, they obviously don't have that much of an ARPU. So just keep that in mind. That's same for us and for our competitor as well. Then on the impairment, yes, the network CapEx impairment is slightly higher. This does not only include the mobile side, it includes the online side as well. And as we are upgrading our online network, we identified areas where we need to clean up or in terms of impair, and that has been recorded in fourth quarter. So that explains why the 200 sites or 250 sites that we completed in Q4 is not leading to a similar impairment that you have seen in the previous period. As far as the other investments is concerned, we've recorded roughly THB 2.4 billion of impairment. This is on all the JV companies and the boom that you spoke about in the past, the investments that have been made there. I would say the net book value of these investments right now is not that significant anymore. So, there should not be a significant exposure coming on in account of this in future.
Naureen Quayum: Thank you, Khun Nuttapop. Can we move on to Khun Wasu here?
Wasu Mattanapotchanart: Wasu from Maybank Securities. I have 3 questions. The first one is about network quality and network perception. So, I'm aware that True will continue to spend on CapEx to improve quality. But how about on the perception side, are there any plans to boost the network perception for both the mobile and fixed broadband customers in the short to medium term? That's the first question. The second question is about the digital services. If I heard Khun Nakul correctly, you were saying that the digital services growth should offset the decline in PayTV revenue. So, what kind of digital services do you expect to boost the revenue growth going forward? That's the second question. And my final question is about the long-term EBITDA margin target. So, your original target, I think, in early 2025, you were targeting 67% EBITDA margin by 2027. Now you are targeting more aggressive 68% in this year. So, what led you to be more optimistic about the EBITDA margin target? Is it better expectation of revenue or cost savings or both? That's my last question.
Sigve Brekke: Yes. Let me start with the first one. Yes, definitely. There is still a perception gap. The reality, I will say there is no gap between ourselves and AIS anymore. That's a claim, and that is what we see from our network studies also, but there is still a perception gap, and we are going to deal with that. We are going to run -- expect us to run both national campaigns, but more importantly, local campaigns to deal with that. So hopefully, during the year, we have also closed that perception gap with AIS on network. On the EBITDA -- guiding up on EBITDA, I think it's a mix of those 2 things. We see now that the revenue momentum that we came out from Q4 and taking into next year is good, but we also see that the transformational efficiency programs that we have really works. That's why we are more bullish on also continuing to cut costs going forward, which is not cost related to the synergies that we got from the amalgamation, but it's more cost related to a transformation of the business.
Nakul Sehgal: Thanks for the question, Khun Wasu. I was thinking that you will come much earlier in the day for the questions, but it's okay. On the digital service versus PayTV, let me just correct you. What I mentioned was the decline in PayTV should be offset by the growth in digital media and not the digital services as such. So that's what we intend to do right now. Intention is because the digital -- sorry, the PayTV is declining roughly 4% on a quarter-on-quarter basis, we want to make sure that with the digital media, with the content that Khun Sigve spoke about, we are able to monetize it in a way that we are stemming the decline. Then just wanted to add on the EBITDA margin. In Q3, I remember you asked us a question that you're already sitting at 67% EBITDA margin. won't you upgrade your guidance for the year. And now that we have upgraded the guidance, now you're asking us why have you upgraded the guidance. So, Q4 '25, we are sitting at 67.5% already. So that's why we're talking about 68% in '26.
Wasu Mattanapotchanart: So, when you're saying that you offset the growth from the digital media to offset the PayTV decline, does that mean when you look at the PayTV revenue in 2026, there should not be any significant decline anymore.
Nakul Sehgal: Except to the extent where you're still going to compare year-on-year for EPL. That's it, yes. Otherwise, it should be normalized.
Naureen Quayum: Thank you, Khun Wasu. We don't have any question -- Khun Kittisorn from InnovestX.
Kittisorn Pruitipat: I have 2 questions. The first one is about the dividend payout target. Okay, you already mentioned that the policy is at least 70% of net profit. My question is, is there any target on the normalized profit? Because I mean, every quarter, we have like onetime expense. So, should we expect a similar level of normalized profit for the payout? That's my first question. The second question is about the transaction with Arise. I mean, when do you expect the transaction to be completed? That's my second question.
Sigve Brekke: Yes. On the second question, I think we expect that transaction to be completed during March sometime.
Nakul Sehgal: Yes. On the dividend payout target, let me first correct, the dividend policy has not changed. The dividend policy is still at least 50% of the payout on a normalized -- on a reported profit basis. However, in terms of our guidance, we have considered a 70% payout. And as far as is there a separate guidance for normalized, the answer is no. There is only one guidance on the reported profit because a bulk of the write-offs has already been done, network modernization is over. We have reviewed the investments that we have already. There should be a marginal difference between the normalized and the reported profit. That's why we are only going to guide on the reported profit going forward.
Sigve Brekke: Let me also add on the dividend. And I think we also have said that the dividend policy is unchanged, but we also have a policy, have a progressive dividend, meaning an actual increase in payout year-by-year. So, we expect that also to happen.
Naureen Quayum: Thank you, Khun Kittisorn. We have a question online. Can we unmute Izzati.
Izzati Hakim: Just one question for me. Earlier in the presentation, I think I heard that we still are running on 2 billing systems and also CRM, even though majority of the network has been consolidated. What's the plans on the consolidation for the back-end systems? And if so, will there be implications to margins or some of the cost items or CapEx?
Sigve Brekke: Yes, you are correct. We are running actually 4 different systems in parallel. And we haven't been prioritizing this because we want to have our network in place first. Now we are prioritizing that, and that is going to take us a couple of years to simplify and to modernize. But all this is in the plans that you have that we are guiding. This is more -- it's not big, big CapEx numbers if you think about what we invest in the network. It's more to make sure that there are no customer effects of it when you start migrating. We have started migrating some over to one billing system already, but we do this step by step. So, expect us -- and as Khun Nakul also said, there are not big, big cost savings out of this. This is more a customer simplicity and a customer journey effort. So, we are doing that as we speak, but it will take us a couple of years, but that is all included in the guidance that we have.
Naureen Quayum: Thank you, Izzati. Any more questions from the room? Khun Nuttapop?
Nuttapop Prasitsuksant: Sorry, Nuttapop, again. Just 2 quick follow-ups. The first one, I think when you mentioned progressive dividend, you mean payout, right? Not absolute, payout percentage will also increase also.
Sigve Brekke: No, not the percentage. I'm talking about the actual payout, the amount.
Nuttapop Prasitsuksant: Okay, the amount, alright. And the second one, you mentioned about more aggressive fixed broadband investment infrastructure. Should that lead to -- should we expect basically faster subscriber gain for you? And is that meaning you are entering into what I call new greenfield area? Or it's more like your untapped area, but there will be some tenants already there?
Sigve Brekke: Yes. On the mobile -- on the online side, we are going to do 3 things with our investments. The first one is to improve the network quality of where we already are. And there are areas where we are not happy with the minute loss or with the outages we have in our online network. So that's the first one. And this is everything from modernizing the last mile in broadband to replacing batteries to also all those type of things that has not been prioritized the first 3 years. The second thing we do is to try to be utilizing the network we have built better and to the ports that we have around in the areas where we have coverage should be better utilized. So, we are trying then to pocket-wise, go in and actually do the -- connect the homes where we have past network already. So that's the second one. And the third one is to also gradually move into areas where nobody have a broadband offer. So, it's a combination of these 3 things. I think today, there are a little bit less than 10 million households in Thailand having a broadband connection. That's combining us and what AIS do. And there are 22 million households in Thailand. So, there's still a room to grow to connect those that still don't have a broadband connection. So those are the 3 things. But we -- again, don't expect us to be price aggressive to do this. Expect us to be actually very much focusing on the customers that we have and with a better experience and with that an upsell opportunity for existing customers to higher speed packages, better utilization of the network that we already have and then in what I call granular way, go into areas where we think that the customer should be served with a fixed solution.
Naureen Quayum: Khun Wasu?
Wasu Mattanapotchanart: Just one more question for Khun Sigve. So, you were saying that you expect the OpEx to be flat in the long term, but not this year. How long term are we talking about?
Sigve Brekke: I don't have any guiding on that, but as soon as possible. And this, I have with me experience from my previous job that it's possible actually to grow revenues with a flat OpEx if you do it right. So -- and I said we may not -- I don't think it's realistic that we'll be able to do it this year. But you see already from the EBITDA guiding, which is significantly more than the revenue guiding. So, some of this is already in there. But in the coming years, in the strategy period then to close down to that, we should be able to deliver on that.
Naureen Quayum: Thank you, Khun Wasu. Any further questions, both online and in the room? No? Okay then, thank you so much to everyone. And I hope you all had a happy Chinese New Year and also Ramadan Kareem to everybody celebrating. We will see you next time.
Sigve Brekke: Thank you.